Operator: Greetings. Welcome to Union Pacific's Third Quarter 2021 conference call. At this time, all participants will be in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded and the slides for today's presentation are available on Union Pacific 's website. It is now my pleasure to introduce your host, Mr. Lance Fritz, Chairman, President and CEO for Union Pacific. Mr. Fritz, you may begin.
Lance Fritz : Thank you, Rob. And good morning, everybody. Welcome to Union Pacific 's Third Quarter Earnings Conference Call. With me today in Omaha are Kenny Rocker, Executive Vice President of Marketing and Sales; Eric Gehringer, Executive Vice President of Operations; and Jennifer Hamann, our Chief Financial Officer. During the quarter, the Union Pacific team dealt with multiple network disruptions that required us to rebuild bridges, reroute trains, and connect more closely with other links in the supply chain to support and to serve our customers. While we still have work ahead, our employees' dedication is a critical success factor in navigating all of those challenges.  Turning to our third quarter results, this morning, Union Pacific is reporting 2021 third quarter net income of $1.7 billion or $2.57 per share. This compares to $1.4 billion or $2.01 per share in the third quarter of 2020. Despite the network and global supply chain challenges, our quarterly operating ratio of 56.3% improved 240 basis points versus last year and represents a third quarter record. We also set third quarter records in Operating income, net income, and earnings per share. The team did an excellent job of managing the business to produce strong results.  A comparison to 2019, a period with higher volumes, further highlights our performance and demonstrates our focus on driving productivity and network efficiency to overcome external factors. We also continue to make progress on our goal to reduce our carbon footprint. The team achieved strong productivity to brew some all-time quarterly record low fuel consumption rate. This represented a 1% improvement versus 2020 and helped our customers eliminate 5.7 million metric tons of greenhouse gas emissions in the quarter by using Union Pacific versus truck. Momentum is building. And before the end of the year, we plan the detail our emissions reduction plan with the release of our initial climate action plan. So let's start the morning with Kenny for an update on the business environment.
Kenny Rocker : Thank you, Lance and good morning. Before I talk about our market performance, I want to thank our operating team for their tireless efforts this past summer to recover the network from the devastating forest fires in California. Focusing back on our review of the business, our Third Quarter volume was flat compared to a year-ago. Gains in our bulk and industrial segments were driven by market strength and our business development efforts. Those gains were offset by declines in our premium business group, as our served markets continue to be impacted by semiconductor chip shortages and global supply chain disruptions.  However, freight revenue was up 12% driven by higher fuel surcharges, strong pricing gains, and a positive mix. Let's take a closer look at each of these business groups. Starting out with our bulk commodities, revenue for the quarter was up 14% compared to last year, driven by a 4% increase in volume and a 9% increase in average revenue per car, reflecting strong core pricing gains and higher fuel surcharge revenue. Coal and renewable carloads grew 9% year-over-year, and 17% from the second quarter. Our efforts to switch customers to index-based contracts are supporting domestic coal demand, as a result of higher natural gas prices, coupled with increased coal exports.  Grain and grain products were down 1% compared to last year, and down 9% from the Second Quarter due primarily to lower U.S. grain stocks. However, this was partially offset by our business development efforts and strong demand for bio-fuels. Fertilizer carloads were up 10% year-over-year due to strong agricultural demand and increased export potash shipments. And finally, food and refrigerated volume was flat year-over-year and sequentially from the Second Quarter. Moving on to Industrial. Industrial revenue improved 22% for the quarter, driven by our 14% increase in volume. Average revenue per car also improved 6% driven by higher fuel surcharge, core pricing gains, and positive mix. Energy and specialized shipments were up 16% compared to last year, and up 5% versus the Second Quarter.  The gains were due to an increase in petroleum products as demand recovers from this time last year, and new business wins from Mexico Energy Reform. Volume from Forest Products grew 15% year-over-year, primarily driven by demand for brown paper using corrugated boxes, along with strong housing starts, driving lumber shipments. However, compared to the Second Quarter, volume was down 2% due to the impact of the Lapa fire in Northern California. Industrial chemicals and plastic shipments were up 6% year-over-year due to strengthening demand and business wins as production rate for plastics improved from 2020. Metals and minerals volume was up 21% compared to 2020 and up 3% versus the second quarter, primarily driven by our business development efforts, along with strong steel demand.  As industrial markets recover, coupled with favorable comps for frac sand. Turning now with premium, revenue for the quarter was up 1% as the 9% decrease in volume was more than offset by higher average revenue per car. ARC increased by 11% from higher fuel surcharges and core pricing gains. Automotive volume was down 18% compared to last year and down 4% versus the Second Quarter, semiconductor shortages had an adverse impact to both our finished vehicles and auto parts business segments. Inter-modal volume decreased 6% year-over-year and 8% compared to the second quarter. International volumes continue to face challenges from global supply chain disruption. With regards to domestic, strong demand and new business wins were also hampered by supply chain disruptions. Plus e-commerce business saw tough comps versus last year. Now, looking ahead to the Fourth Quarter of 2021, starting out with our bulk commodities, we're optimistic about grain business due to another strong harvest and grain export demand. Also, grain products will continue to benefit from growth of the bio-fuel markets. Food and refrigerated volumes should be positive with increased consumer demand, post-pandemic restaurant re-openings, and truck penetration growth. Lastly, we expect coal to remain strong for the remainder of the year based on our current natural gas futures, inventory replenishment, as well as export demand. Looking at our industrial markets, we continue to be encouraged by the strength of the forecast for industrial production for the rest of 2021, which will positively impact many bar markets, like metals and florin (ph). The year-over-year comp for our energy markets are favorable. However, we expect narrow spreads will negatively impact crude by rail shipments. But on a positive note, we expect to mitigate the lower crude shipments with strength and other petroleum and LPG products. And lastly, for premiums, we anticipate continued challenges in automotive related to semiconductor shortages for the fourth quarter. In regards to intermodal, limited truck capacity, inventory, restocking, and strength in retail sales will continue to drive intermodal demand in the fourth quarter. However, we expect international volumes to be constrained as ocean carriers have recently taken additional actions to speed up their container returns as challenges in labor, port capacity, warehouses, and in drayage persist. And on the domestic side, opportunities will face continued supply chain challenges with limited hallway capacity and floor chassis turn time. Overall, I'm encouraged by the opportunities in front of us for the rest of 2021. But more importantly, I want to recognize the commercial team as they continue to focus on providing solutions for our customers to win in the marketplace. As we head into 2022, our commercial team is driving growth through new business wins. Most notably, we're taking more trucks off the road in all three of our business groups. And with that, I'll turn it over to Eric to review our operational performance.
Eric Gehringer: Thanks, Kenny. And good morning. I'd like to begin by thanking the entire operating department for their dedication and hard work to manage through the challenges we've faced during the quarter. From wildfires to mudslides and hurricanes, the team demonstrated perseverance to restore our network and deliver strong financial results. In addition, as Kenny just described, the demand picture is turned out differently than we expected at the beginning of the year. Working closely with marketing, the operating team has adjusted transportation plans and added resources into the network for surging demand in coal, metals, lumber, and green.  These actions demonstrate the agility and strength of our franchise. Take a look at our key performance metrics for the quarter on Slide 9, driven by wildfires and weather events during the quarter, our freight car velocity and trip plant compliance metrics deteriorated compared to 2020. Freight car velocity decreased due to increased terminal dwell and higher operating inventory levels, which led to lower trip planned compliance results. Our entire team has been fully engaged on restoring network fluidity and the recovery is progressing. We are seeing improvement in our metrics with reduced operating car inventory and improved freight car velocity. Our reported weekly metrics showed the time required to recover the network from these events. While we made improvements from our freight car velocity, weekly low of 184 in August to 210 miles per day in the last two weeks of September, our goal remains to return freight car velocity towards 220 miles per day. Our intermodal trip plan compliance results improved an August low of 61% to gain 12 points in September to 73%. Our manifest and auto TripLink compliance results improved from 57% in August to 61% in September. We recognize improving TripLink compliance is critical to support our customers and our long-term growth strategy.  We have maintained higher crew and locomotive resources in the short-term to assist in reducing excess car inventories to drive increased fluidity. As Operating car inventory declines, we will quickly adjust resources to current volume levels. Our cooperation and work with partners at the West Coast ports have reduced rail container dwell back to more normal levels. And with the Biden administration's efforts to expand operations at the ports to ease congestion, we stand ready to move more rail containers, provided that points further along the supply chain can handle increased volume. While there's still work to be done, the team is confident in our ability to restore service to the levels our customers expect and deserve. Turning to Slide 6, we continue to make good progress on our efficiency initiatives. However, disruptions during the quarter impacted these results as well. Locomotive productivity declined 8% compared to a year-ago as we deployed additional resources to handle traffic reroutes. Our record third quarter workforce productivity was driven by efficiencies and our engineering, mechanical and management work forces, and offset slightly by increases in train and engine workforce to address our network recovery. We continued our focus on increasing train length, achieving a 4% improvement since third quarter 2020 to approximately 9,360 feet. Now that the bridge has been restored, the team has again, driving productivity through increasing Train Link, as evidenced in our September train linked growth to over 9,500 feet. Turning to slide 11, our ability to grow Train Link has also enabled by the completion of 9 sidings to date in 2021 with an additional 26 under construction or in the final planning stages. These investments will enable a more reliable and efficient service product for future growth. We also produced a record quarterly fuel consumption rate, improving 1% compared to last year.  Through productivity initiatives and technology improvements, we were able to offset most of the inefficiencies stemming from the wildfires. The operating department understands the importance we play in achieving our long-term greenhouse gas emission goals and have more work underway. Our approach is multi-pronged, with the primary emphasis around our locomotive fleet, both looking at alternative energies as well as biofuels. As we drive productivity and manage the various network challenges in 2021, the health and safety of our workforce is paramount. Although our year-to-date employee safety results have not shown improvement in 2020, recent monthly trends provide positive momentum for the team to build upon. Again, our approach is across a number of fronts, including employee engagement, broader deployment of technology, as well as looking externally for best practices. Additionally, we reduced cost of rail equipment incidents during the quarter. We are encouraged by the improvement, but know that we must maintain focus on promoting a safe working environment to reduce employee injuries so everyone goes home safe each day. Safe operations also have a direct impact on our service product, so this work will benefit all stakeholders. Wrapping up on slide 12, as we look to close out 2021, I have the utmost confidence that we will continue to improve safety, increased network fluidity, improve our service product, and drive productivity as we support business growth with our customers. With that, I will turn it over to Jennifer to review our financial performance.
Jennifer Hamann: Thanks, Eric, and good morning. As you heard from Lance, Union Pacific achieved strong third quarter financial results with earnings per share of $2.57, and an operating ratio of 56.3%. As noted in an 8-K last month, we incurred additional expenses this quarter related to wildfires and weather. The full impact of those events, including lost revenue, negatively impacted our operating ratio 50 basis points and earnings per share by $0.05. Rising fuel prices throughout the quarter negatively impacted operating ratio by a 140 basis points.  However, the Year-over-year impact of our fuel surcharge programs added $0.05 to EPS. Setting aside these exogenous issues, UPS core operational performance drove operating ratio improvement of 430 basis points and added $0.56 to EPS. Our performance demonstrates the resiliency and efficiency built into our franchise through PSR, even when operating in less-than-ideal conditions. Looking now at our third quarter income statement on Slide 15, where we're showing the comparisons to both Third Quarter 2020 as well as Third Quarter 2019. The comparison of 2021 to 2019 most clearly illustrates the efficiency we've achieved over the past two years as we generated 9% higher Operating income on 4% less volumes. For third quarter 2021, operating revenue up 13% and operating expense only up 9%.  We generated a third quarter record operating income of $2.4 billion. Net income of $1.7 billion, and earnings per share also were third quarter records. Looking more closely at third quarter revenue, Slide 16 provides a breakdown of our freight revenue. Both year-over-year and sequentially versus the second quarter. Freight revenue totaled $5.2 billion in the third quarter, up 12% compared to 2020 and 1% compared to the second quarter. Looking first at the year-over-year analysis, although volume was flat, the overall demand environment remains strong and supports pricing actions that yield dollars exceeding inflation. On a year-over-year basis, those gains were further supplemented by a positive business mix driving 650 basis points in total improvement.  For Intermodal shipments combined with higher industrial shipments, drove that positive mix. Fuel surcharges increased freight revenues 600 basis points compared to last year as our fuel surcharge programs continue to chase rising fuel prices. Looking at freight revenue sequentially, lower volume versus the Second Quarter, decreased rate revenue 250 basis points highlighted by the factors that Kenny highlighted. Continued core pricing gains and a more positive business mix, increased freight revenue, 175 basis points on a sequential basis, driven by that same combination of higher industrial carloads and lower intermodal shipments.  Finally, rising fuel prices and the resulting uptick in sequential fuel surcharges increased freight revenue, 125 basis points. Now let's move onto Slide 17, which provides a summary of our Third Quarter operating expenses, which increased 9% in total versus 2020. The primary driver of the increase was fuel expense, up 81% as a result of a 74% increase in fuel prices. A small offset to the higher prices was a 1% improvement in our fuel consumption rate. Better efficiency was a product of both our business mix and productivity initiatives, which offset inefficiencies associated with wildfires in the quarter. Looking further at the other expense lines, compensation and benefits expense was up 3% versus 2020. Third Quarter workforce levels were down 1% compared to last year, despite our trained and engine workforce growing 3%. This increase reflects the additional crews needed to navigate the network impact from bridge outages and weather. Management, engineering, and mechanical work forces together decreased 3%. Wage inflation along with higher re-crew and overtime costs associated with our network issues, increased cost per employee 4%, while still a tad elevated, this level of per employee compensation increase is more in line with future expectations. Purchased services and materials expense was flat as higher locomotive and freight car maintenance associated with the larger access fleet was offset by reduced contractor expense. And with automotive shipments forecasted to remain soft for at least the balance of the year. We now expect purchase services and material expense to only be up low-single-digits for full-year versus 2021. Equipment and other flat consistent with volumes. Other expense decreased 10% or $29 million this quarter, driven primarily by lower write-offs of in-progress capital projects in 2021. As we look ahead to the fourth quarter, recall that last year we incurred a one-time $278 million non-cash impairment charge in this expense category. Looking now at our efficiency results on Slide 18, operating challenges during the quarter again impacted our productivity, which totaled $45 million. In total for 2021, productivity is at $280 million, led by our Train Link improvements and locomotive productivity offset by roughly $55 million of weather and incident-related headwinds. Our incremental margins in the quarter were very strong, 94% driven by solid pricing gains, positive business mix, as well as continued efficiency. PSR clearly gives us a platform to add volumes to our network in an extremely efficient manner. Turning to slide 19, year-to-date cash from operations increased to $6.5 billion from $6 billion in 2020, a 9% increase. Our cash flow conversion rate was a strong 95% and year-to-date free cash flow increased $728 million or 38% driven by higher net income and lighter year-to-date capital spend compared to last year.  Supported by our strong cash generation and cash balances, we've returned $7.9 billion to shareholders year-to-date through dividends and share repurchases. Actions taken during the year include, increasing our industry-leading dividend by 10% in May and repurchasing 27.5 million shares totaling $5.9 billion. We finished the Third Quarter with a comparable adjusted debt-to - EBITDA ratio of 2.8 times, which is on par with Second Quarter. We remain committed to returning great value to our owners and are demonstrating that again this year. Wrapping things up on slide 20, as you heard from Kenny, the overall economic environment remains positive and provides confidence for the future growth of our Company. Bulk is driven by strong gear -- grain volumes and coal continue to exceed expectations.  Industrial volumes remain consistent and strong across many sectors like forest products, metals, and plastics. So we are bullish on several fronts. But as you are also well aware, headwinds in autos and intermodal persists. Global supply chain disruptions, semiconductor shortages, and the additional pressure with international intermodal volumes that Kenny just described, continued to constrain our premium volumes. So balancing these variables, and with just over two months left in the year, we now expect volume to be up closer to 5% for full year 2021. We are also adjusting our productivity guidance for the year down to $350 million as the weather impact and related network challenges impede the progress, we expect to make with our efficiency in 2021.  To put that in context, however, at the end of this year, we will have generated almost $1.8 billion of productivity since our implementation of PSR in late 2018, so great work overall by the team. And more importantly, this lower cost structure and improved service product provides Union Pacific the foundation for future growth and strong incremental margins. Lower expectations for volume and productivity are headwinds to our 2021 operating goal. In addition, we've seen fuel prices continue to rise in pressure margins. In fact, over the last 30 days, barrel prices have increased around $10 with spot diesel prices up over $0.25 per gallon. Offsetting some of this margin pressure is a positive business mix and strong pricing environment. So all-in, we now expect our full-year operating ratio improvement to be in the neighborhood of a 175 basis points.  While not quite to the high end of the guidance range we established back in January, we view that level of improvement as another great milestone on our journey to 55.x operating ratio in 2022, especially in light of the unexpected headwinds we've had to overcome to get here. Wrapping it up, it was a tough quarter operationally, yet we made great strides to strengthen our franchise and achieved solid results. In fact, we stand poised to finish 2021 as Union Pacific s most profitable year ever. That achievement would not be possible without our tremendous employees who are on the frontline every day serving our customers safely and efficiently while producing these record results. My thanks go out to team UP. So with that, I'll turn it back to Lance.
Lance Fritz : Thank you, Jennifer. One area of continued focus by the team, as you've heard us talk about this morning, is safety. While our Safety metrics lagged 2020, there are some positive signs including strong September results that indicate we're taking the right actions to produce desired long-term results. The entire team understands that safety is foundational to everything we do at Union Pacific. Our service product has shown improvement over the past 60 days, but there's still work to be done.  With increasing volumes related to the grain harvest and intermodal peak season approaching, we understand the importance of delivering for our customers. The opportunity to provide freight solutions to our customers is strong and gives us confidence that our long-term goals for growth remain intact. And as you heard from Kenny, even with macroeconomic headwinds, we're winning with our customers. While supply chain disruptions will likely persist into next year, we see our third quarter and year-to-date results as proof of our team's ability to perform in the face of significant challenges. As headwinds turn to tailwinds, we're well-positioned to build off our success and deliver even more value to our stakeholders. So with that, let's open up the line for your questions.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions]. In the interest of time so that we can accommodate as many analysts as possible, we would ask everyone to please limit themselves to one question. Thank you. And our first question comes from the line of Scott Group with Wolfe Research. Please, proceed with your question.
Scott Group: Hey, thanks, morning guys. So Jennifer, you've been highlighting strong incremental margins year-to-date, I guess I'm wondering why that doesn't continue in the Fourth Quarter if the guidance implies a flattish OR despite some really good pricing, anything 4Q, had some onetime bonuses a year ago. So maybe just some thoughts on why the incremental aren't better in Fourth Quarter? And does this in any way change the outlook on the 55 OR for 2022?
Jennifer Hamann: Well, let me start with that second part Scott, because it in no way changes how we're looking at 2022. We absolutely believe we will still achieve those targets in 2022, consistent with what we talked about in our May Analyst Meeting. In terms of some of the pressures year-over-year. I mean, it really is a lot driven by fuel. The cost per gallon and if I'm looking at it year-over-year is going to be up anywhere from call it 75 to 80%.  And that's just very tough to overcome, especially with flat volumes, because that's essentially how we're looking at things and you think about our volume guidance in the 5% for full year. So while we're still expecting to be efficient, as we're continuing to resource in the network fluidity that's going to have some pressure on that. And that's what's being reflected in the guidance that we provided there.
Scott Group: And just on that's a pressure to the operating ratio, but not necessarily earnings pressure?
Jennifer Hamann: Operating ratio pressure, yes. Got it. Thank you.
Scott Group: Alright. Thank you.
Lance Fritz : Alright. Thanks, Scott.
Operator: Thank you. Our next question is from the line of Ken Hoexter with Bank of America, please proceed with your question.
Ken Hoexter: Great. Thanks. Good morning. Maybe just a little bit of following up, but Kenny, as you think about that deceleration of 5% growth from 7, which I guess Jen said it's flat, seems like it's 1% growth and maybe a little acceleration in the Fourth Quarter, you maybe talk about puts and takes on that, and more specifically, the Port of L.A. noted, they're seeing some significant rail improvement. Can you talk about if you're able to move the freight, how's the supply chain? Can you get the boxes inland and is there anything improving inland that the warehouses or chassis shortages, especially as we are at peak or moving past peak, are you seeing any improvement in the fluidity there? Thanks.
Lance Fritz : All right that's a few questions, a little bit hard. And Eric, you'll help me out a little bit here. So first of all, just walking on our business if you look at it. We expect our coal business to have the same run rates that they have this quarter. You see where the future numbers are. We'll see where that takes us into the first part of 2022. On the grain side, we'd be really happy if we can get to a flattish year-over-year look, we'll see how that plays out. Maybe we get there, if we don't get there, maybe we're up a point or so off. Looking at our Industrial business forward is a lot of opportunities in front of us. I've been really excited about the fact that the commercial team there has been able to win business.  We're seeing it show up on the [indiscernible] on side, as the production rates are going up from earlier in the year. On the metal side also, lot of strong wins, business development wins that we're seeing. It's also showing up. So we're really creating a lot of good things to move in our way. On the forest side, same thing wins from truck -- from paper, wins from truck on the lumber side. We'll see how that plays out. That should really be a positive area for us. But then the wildcard here is on the premium side. You look at auto, I'd tell you, I've forecast this thing wrong in a couple of quarters, I think that -- I believe that we're certainly in the trough. I don't see it really improving in the quarter. We'll see what happens in the next year, maybe some gradual improvement.  And then on the international -- intermodal side, Eric and his team have done a great job of really reacting and engaging the terminals at the port and the port. I'm really proud of the fact that we got a product that we've created and Inland Empire can actually capture some of that business that might spill over. You know about the products that we've created up in the 20 cities and we've got our grain facility coming on at G4 to make it just more attractive for customers that really come in and move on the international side and on the domestic side, I'd expect the same run rate that we're seeing today. And we're expecting a tougher comp on our e-commerce businesses we'll have more of a normal Christmas.
Eric Gehringer: And Ken, regarding the ports themselves and thinking about our system fluidity, first, it's important that we applaud the same efforts that you did with the effort on both of the ports to move to a 24 by 7 operations. As you think about our fluidity and how we support the middle part and the entire supply chain. You're really thinking about four specific things. The first one is Cardwell, we're back in our 23-to-25-hour historical average, which is 24% better than our peak in July. So we have cars, they're available. From a velocity perspective, how fluid are we from getting point A to point B? We're at 488 miles per day yesterday, which is the best we've been in 9 months. So we have the fluidity to move from A to B.  Where you still see the constraints is in our box slot, we see currently a 40% increase in that dwell versus earlier this year. And then, also on the chassis street time, which is just a measure of how long is a chassis from the time it leaves, to the time it comes back to us. And that's up 20%. So what's critically important as we've identified before, we can take the volume, we can handle the volume efficiently. we need the back end of the supply chain with warehouse capacity, warehouse labor, dray capacity and dray labor to be there to answer that call. We're not doing that, and putting that entirely on the back-end though, we've taken actions even in the last 6 months.  You've heard me talk before about, we know, we've opened G3. We've gone deeper. We've got 5,000 cars now strategically placed. We've extended hours and selected ramps. Most notably, our recent extension to 24-hours in ICTF in L.A. We've also expanded hours for road ability, which is. Matter of expanding hours for the inspection and maintenance of chassis, were being partners with our customers to ensure that anything they can do to continue to improve supply chain fluidity were supported.
Ken Hoexter: Great. Thanks, Kenny and Eric. Appreciate it.
Operator: Thank you. Our next question is from the line of Walter Spracklin with RBC, please proceed with your question.
Walter Spracklin: Thanks very much. I guess this question is for Lance and it's a little bit conceptual and it's regarding the supply chain and supply chain issues and whether they are structural or temporary. Effectively, if this is temporary, and we work through the next quarter or two, we don't need to worry about anything, but it seems a little bit more structural. You add in the -- while wildfires can be one-offs, they do recur and can aggravate the supply chain situation.  My question is, if they are structural, Lance, do you look at anything that you can do that, outside of what you're doing for your Company and the things that you can control? There are a lot of aspects with the supply train you can't and you're starting to see your competitors dip into other aspects of non-rail operations. Is this something that even if indeed it is structural and you want to have more handle and the ability to bring other operations in line with your rail operation, could you start looking at acquisitions that are outside of your core rail assets?
Lance Fritz : That's a great question, Walter. Let start with structural or temporary. I'm still of the belief that most of what we see is temporary, but that doesn't mean the fundamental basis for your question isn't still appropriate, right? So if we just focus in on the international intermodal supply chain, let's use that as a marker. From a temporary perspective, clearly, COVID and the impacts on labor from many different directions related to the COVID pandemic and reaction to the pandemic over the last 18 months has impacted the labor ability to fill jobs either on the back-end warehouse dray, over in the origin, shutting down factories, ports. And I don't think that lasts forever, right? That certainly strikes me as something that we, the U.S. and the world are going to get our arms around either through mass vaccination, therapeutics, combination of both. So I think ultimately, the way the supply chain is disrupted right now doesn't last.  That doesn't mean that we shouldn't continue to keep our eyes open on opportunities to basically be better for customers. Step one in that, has a lot to do with transparency and visibility in the existing supply chain across partners. We're working very hard in that space with each of the supply chain partners that we have. whether it's a technology platform that we can all use to see everybody's KPIs and current status, or something more.  And to your point, from an inorganic growth opportunity perspective, there are probably opportunities in there. And we have talked about that being a juice and augment to our fundamental growth for the railroad and bringing more cars onto the railroad. So I think there are opportunities, they are Walter and we've got our eyes wide open and are looking for them, as we continue to work on the overall supply chain.
Walter Spracklin: Really helpful perspective. Thanks, Lance.
Lance Fritz : Yep, thank you.
Operator: Our next question comes from the line of Justin Long with Stephens, please proceed with your question.
Justin Long: Thanks, and good morning. I guess, building on that last question with the CP KCS merger moving forward, I wanted to get your updated thoughts on how this could impact your business. Could you talk about the risks that this deal could pose to either your business or Fairmex's business, given your ownership stake there and how you could potentially mitigate some of those risks?
Lance Fritz : Yeah. Great question, Justin. Thank you. So we've been crystal-clear all along that there are a number of concerns we have in terms of maintaining and enhancing competition with this proposed merger. The primary one is making sure that our customers continue to have good commercial access with businesses in Mexico. Today, we appreciate and enjoy about two-thirds or more of all the cross-border rail traffic to and from Mexico. The reason that is, we have the best franchise to both act as an origination for business in Mexico and act as a marketplace for businesses and Mexico. We just want. And to make sure that in the combination of the CP and the KCS, our customers aren't locked out from that access, so we are active in the process right now, to make sure that that concern is known and that it gets addressed in some kind of remedy. I think there are bonafide risks to our business to and from Mexico to maybe the FXE's business. But I think we've got a pretty good beat on them. We understand them and we're actively already working to address them.
Justin Long: Okay, thanks. I appreciate the time.
Lance Fritz : Yeah. Thank you, Justin.
Operator: Our next question is from the line of Amit Mehrotra with Deutsche Bank. Please proceed with your question.
Amit Mehrotra: Thanks. Good morning. I wanted to get your perspective on what innings you think we're in with respect to the pricing opportunity. I think that's an appropriate question given we're baseball playoff season. But I really asked that question because, we saw a nice sequential uplift in intermodal and coal yields. But everything else I would say was a bit muted. I know there's mix within mix that can impact that, but maybe just as a summary, just talk about what inning you think we're in, where you think the biggest opportunities are to see yield improvements from where we are today.  And then just intermodal and coal just took a big step up, is that sustainable in 4Q and as you look at in 2022? Thank you.
Lance Fritz : Kenny, you want to take that?
Kenny Rocker : Yeah. Thanks, Amit, for that question. First, I'll start off by saying that I feel much better about where we are today in terms of our ability to price the product and even earlier in this year, we're looking at the Fourth Quarter. We're going to start bid season here with a small amount of a bid out there, call it 10-15% on a lot of our Intermodal business. Clearly on a lot of our carload business. We're stepping into that. I's a strong environment for us. It's a favorable environment for us. We're going to price to the marketplace. We're in the tight truck capacity. Not just on the Intermodal side, we also see it on the carload side. So we'll have a lot more clarity on it, but I will tell you right now, as I sit here today, it's a favorable environment for us to be pricing in.
Amit Mehrotra: So Kenny, you're not going to fight on the inning questions in terms of giving us a number?
Kenny Rocker : Well, I'm a college football fan, first of all. But the bottom line is that, hey, look, this is -- it's better than I've seen it in a while. I haven't seen it this strong since the last part of '18. We feel good about the products that we have out there. I've talked about all the new products with Inland Empire in Twin Cities and the network that we have and what Eric is doing to improve the service that you're seeing. It's a favorable environment for us and we feel good about our ability to price into it.
Amit Mehrotra: Okay. Fair enough. Thank you very much. Appreciate the time.
Lance Fritz : And thank you, Amit.
Operator: And our next question is from the line of Chris Wetherbee with Citigroup, please proceed with your question.
Chris Wetherbee : Hey, thanks. Good morning, guys. Maybe I can ask a pricing question would be a little bit differently or come at it from a bit of a different perspective You just mentioned, sir not -- if this is probably as good as you've seen since the tail end of 2018, I guess that was really kind of what I was interested if maybe you could put into perspective what we're seeing now from a pricing opportunity to maybe what we saw in 2018. Or maybe going back to 2014 when we had the big uplifts in the pricing dynamic, particularly coming off the back of a very strong truckload market. So do you think that what we're seeing now is sort of commensurate to what we saw back in those other periods? Could this potentially be a little bit better, just given what we're seeing from a supply chain perspective? Any perspective is on -- on that relative to history might be really helpful for us.
Kenny Rocker : Yeah, you know, it's totally different reasons. I mean, 2018 was -- the supply chain challenges weren't as holds up as they are today. There are still many things that -- that come into play when you look at what's on the water, what's at the port, street well, and some of the chassis turns. This is a little bit different. In terms of the price and opportunity, I'd say it's still there. I still, again, pretty strong about the opportunities that we have. We get the test awarded here like I mentioned. In the fourth quarter, we've got some large pieces of business that are coming on. We'll see how it plays out, but we're pretty optimistic about what's in front of us.
Chris Wetherbee : That's helpful. I appreciate the time guys. Thank you.
Lance Fritz : Yeah. Thank you, Chris.
Operator: The next question is from the line of Jason Seidl with Cowen, please, proceed with your question.
Jason Seidl : Thank you, Operator. And good morning, everyone. I wanted to focus a little bit more on the supply chain disruptions as you seem to be one of the main carriers impacted, given your exposure to L.A. and Long Beach. Could you tell us what do you think are the most recent plan by the administration to sort of get through this backlog. I think there's something like $22 billion worth of freight sitting off the shores. And then also, once we do get through that, do you think there could be a lull of freight for short period of time? Thank you.
Lance Fritz : Well, yeah, those are great questions, Jason. So the way we think about recovery of current supply chain from my perspective, it really fundamentally boils down to putting people in jobs in order to increase the capacity for handling throughput. And that's both dray drivers, whether you're in the L.A. basin or out in the destination markets and certainly in warehousing and distribution center labor. There might be an opportunity with port labor in terms of being able to maximize throughput through the port, and I know they are talking about that. And so I believe the Biden administration has identified basically increasing the throughput capability and the capacity capability, and understands the need to help put labor that's available into those jobs and make more labor available for the jobs.  Now, in terms of -- once the current supply chain is fixed -- there's some really good-looking markers that tell us the economy is in pretty strong place. And maybe we'll stay there for a while. There's a lot of cash on deposit accounts that people are sitting on. And that is dry powder yet to be deployed in spending. As long as consumers continue to spend on things, That's really good for the goods economy, which of course is the part of the economy that we participate in. And there's also generally -- consumers are generally optimistic.  They're fragile because of the impacts that the COVID pandemic have had on all of us. But they're generally pretty optimistic. And we just need to see, I think, the COVID pandemic get under control and get continued signs of normalcy. And I think consumers will spend that money and the low inventory to sales ratio is going to drive a need for continued stocking. So I feel pretty good about it, certainly as we head into 2022, it looks like a strong environment.
Jason Seidl : Lance, I appreciate the color and the believing my kids are trying to support the economy the best they can in spending my money.
Lance Fritz : Keep it up.
Jason Seidl : I wanted to just follow-up. You talked about labor shortages between dray warehouses and ports. I mean, if you had to rank them, what order would you put them, in terms of what's the biggest problem?
Lance Fritz : Yes. Jason, by far, if I could - if we could snap our fingers on the back-end, we would love to see more dray and warehouse distribution capacity. That's the first thing that we would love to see. I think that would fundamentally change street time for chassis and boxes.
Jason Seidl : Fantastic. Appreciate the time as always.
Lance Fritz : Thank you.
Operator: Our next question is from the line of Cherilyn Radbourne with TD Securities. Please proceed with your question.
Cherilyn Radbourne: Thanks very much. And good morning. Kenny, I think this is for you. At the beginning you mentioned moving coal customers to index-based contracts. And I was just hoping you could elaborate a little bit more on how that creates a win-win for Union Pacific and customers.
Kenny Rocker : Yeah, it really just keeps them in the market. It keeps them competitive. Especially, when you have natural gas prices as high as they are. It puts them in the money and we have a really strong service product to support it. We feel good about where that is in the fourth quarter. Probably feel good about where it is in the first quarter and we need to reassess it on a quarterly basis.
Cherilyn Radbourne: Maybe just as a quick follow-up. Does that imply that revenue per unit will follow global benchmark prices in some way. Is that how we should think about it?
Kenny Rocker : I think that's a safe bet to think that way.
Lance Fritz : To a degree, right?
Cherilyn Radbourne: Thank you.
Lance Fritz : There's only - Cherilyn to a degree, right. Because there's only a portion of the book of business that's priced that way, but that portion is definitely going to follow that.
Cherilyn Radbourne: Fair enough. Thank you.
Lance Fritz : Thank you.
Operator: The next question comes from the line of Brandon Oglenski with Barclays, please proceed with your question.
Brandon Oglenski: Hey, good morning, everyone. And thank you for taking my question. Kenny, you spoke about some business development efforts in your prepared remarks, I think on the AG side Industrial, maybe even Mexico Energy. Can you speak more to that? And I mean, I know you have a pandemic comp this year, but as you look into 2022 and beyond, these the types of things are giving you confidence in that +3% volume outlook long term?
Kenny Rocker : Yes, absolutely. I mean, we teamed up at Investor Day, how we thought about the bio-fuel market. One of the things that I'm proud of that vaulting for it, that they develop that market. I mean, you look at the Midwest and some of these central states, we've got a unique opportunity where we originate that business. And then we have another unique opportunity in some cases where we might be able to move some of that product to the end market. So we're going out from a business development standpoint and just developing that business.  As you look at our industrial side, same thing too. If you look at Mexico Energy Reform, team has just done a fabulous job of just walking down that portfolio and growing that business. We have clear line of sight to the players that can get in those markets, and we're helping them grow. On the premium side, We've got [indiscernible] to upcoming in January 1st and we're fired up about it. There are some other areas again, that we have just gone out and created those markets, and so we're excited about it. We do feel -- I'm bullish. We feel very strong going into next year.
Lance Fritz : Brandon, I want to brag on not just Kenny and the commercial team, but the cooperation between Kenny and the operating team and all the other internal support mechanisms that make that business development efforts happen. They're going after business in so many different ways, whether it's campaigns to fill out, shorter trains on the network or to attack a particular marketplace that looks like it's growing. And we want to be a bigger part of it. Or where there's customers that have a real problem with their cost structure and we know bringing some of that business onto the rail will enhance their ability to compete in their marketplace. All of the above is generating business development. It's happening mostly in singles and doubles. But I'll take lots of singles and doubles in a team that's oriented towards making that happen.
Jennifer Hamann: Well, we saw that show up in the industrial space this quarter, talking about being able to really capitalize and jump in where we saw some hot markets. Kenny and the team did it and then Eric and team moved it.
Lance Fritz : Yeah.
Brandon Oglenski: All right, guys. Thank you.
Lance Fritz : Thank you.
Operator: Our next question is from the line of Brian Ossenbeck with JPMorgan, please, proceed with your question.
Brian Ossenbeck : Hey, good morning. Thanks for taking the question. I just want to ask Eric about the operations side and maybe about steps getting productivity and service consistency back on track. And what's still sounds like it's going to be a pretty volatile volume in potentially operating environment. So train lengths were down for the first time that we can really find on record, but they were improving in September.  So maybe you can touch on that in terms of how you can maintain that momentum, even if volumes are flat. And then, just if you can also touch on what else is in your control, the sea rate on fuels, obviously moving in the right direction. Is there anything else specifically on the initiative side you're looking at on labor as well? Thank you.
Eric Gehringer: Sure. It's a great question, Brian. So I'll start in the beginning there. To your point, coming out of the recovery, so the actual events that started the recovery. Yes, service performance, our velocity, and then looking at them now, strong moves in the right direction. As you properly said, we're not to where we need to be. As I look at that over the fourth quarter, our biggest opportunities are down in our Southern and specifically the Southeast region of our system. The teams absolutely focused on ensuring that we can continue to get those terminals operating at a historical dwell level or better.  And that's the focus right now. As we increase velocity, you see a direct correlation to our improvement in service and I expect that out of the team. Now, as far as the broader productivity, you hit on the fuel efficiency, and I want to take a minute to recognize the team on that and stress that because our Third Quarter best-ever record in a 1% improvement against a quarter that was dramatically challenging in a lot of different ways, specifically in how many trains we had to reroute, that's a massive accomplishment. But as you look at fuel efficiency, much like the rest of our pipelines, there's strong initiatives in each one of those.  So I think about, we still have the opportunity to modernize another 100 locomotives next year as part of our plan, that's on top of the 100 we're modernizing this year. And those modernizations will get locomotives that can be operating as DPU units, which provide fuel conservation as we can run more of those. As we think about EMS, I told you earlier in the year, we're going to install 800 units. We're installing 800 units this year and we'll continue with that investment next year. So I could continue to go on and on. The point is the pipelines are full. It has been a challenging quarter. There's nothing that stands in front of us to get back on track in Q4.
Lance Fritz : Well, and Brian didn't ask it specifically. But you've got a path towards 10,000-foot average train length.
Eric Gehringer: We with our September performance for the 9,500, we are absolutely on that path. And with the construction of our [indiscernible] that I mentioned, nine being already completed, 26 in the pipeline. We absolutely have that passive.
Jennifer Hamann: And that's impacted by this modal supply chain issues.
Eric Gehringer: For sure.
Brian Ossenbeck : Right. Just a follow-up really quick, I was going to ask on that if the Train Link impact in the quarter really was from the bridge or would you see more volatility on that if the Intermodal Supply Chain doesn't recover as expected, or at least stabilize a bit?
Eric Gehringer: Let's start with the bridge. So if you think about when the bridge went out, what that really did was it severed an artery where we were able to run trains longer than 8,300 feet. When we had to reroute the trains from Northern California over to Salt Lake and back up to Portland, we're restricted to that 8300 feet for a number of different reasons. So the fall-off and Train Link prior to September was absolutely related to the bridge outage. Now, to your point, as we see intermodal volumes grow, that's always a huge lever for us to grow Train Link, especially across our sunset corridor up to Chicago.
Brian Ossenbeck : All right, great. Thank you for all the color I appreciate it.
Operator: Next question is from the line of Jon Chappell with Evercore ISI. Please proceed with your question.
Jon Chappell: Good morning. Eric, sticking with you. Maybe a bit of a quantitative follow-up to the last question and answers, the 150 million in reduced productivity expectations for this year is completely understandable given everything you've just laid out, whether it's macro or the bridge and the wildfires. Is that lost productivity though from the network as you think about a multiyear plan, or can you make that up at some point next year incrementally to what you were already budgeting for '22 productivity gains?
Eric Gehringer: Yes, Jon, that's an exceptionally good question and I want to be very clear. That is not lost and it's expected that we make that up in next year.
Jon Chappell: Okay. Great, and can it be within a six-month period or is it spread over the course of the year?
Eric Gehringer: Now we're getting into those ending questions again. Jon, rest assured, the entire team understands we have to get that back. As you would imagine, as we think through the 2022 and what is going to present. Those plans are still under works, but it's all with an eye towards capturing back that $150 million.
Jon Chappell: Okay. Great. Thanks, Eric.
Eric Gehringer: Yup. Thank you, Jon.
Operator: Our next question is from the line of Tom Wadewitz with UBS, please proceed with your question.
Tom Wadewitz: Yes. Good morning. I know you've had quite a few questions on capacity. But I guess wanted to get your thoughts on 2022 and how capacity and volume -- how we might think of that? I think there's positive thesis out there on rail that says, we've seen temporary weakness in volume, but you look to 2022 and there's pretty good chance volume improves. And I think that is probably linked to capacity coming online. Lance, do you think that's a reasonable view to have that UNP volume growth can accelerate nicely in 2022. And do you think you have good visibility to that capacity supporting that growth?
Lance Fritz : Tom, thanks for the question. So absolutely it's a reasonable thesis to say we are going to grow in 2022. Our commitments that we made at Investor Day is over the three-year period, we're going to grow better than industrial production. And we believe that we're going to be able to do that. There is a couple of things that I'll point to. We've got Knight-Swift coming on board, that will be a growth engine, we've got the headwinds in the automotive industry and the overall supply chain mostly impacting the Intermodal business.  In my viewpoint, it's very unlikely that carries all the way through next year, that there is capacity coming on for semiconductor manufacturing. The supply chain is going to have enough capacity to handle the throughput necessary. And so I think those get remedied and that's a growth engine. And then Kenny 's team, as we just outlined in bulk, industrial and in the premium side on business development, keep adding opportunity into the bucket, so it's absolutely a decent thesis to say we are growing and we're growing better than industrial production next year. Now, the other side of that is, capacity. We've got plenty of capacity. Our fixed capacity, our railroad can definitely handle the growth. as we go into next year. And we're poised to add the fungible resources that the employees necessary to handle it. Not on a one-for-one basis because we are generating productivity. but I see no issue with the thesis you just laid out.
Tom Wadewitz: Can you talk a little bit about the specific resources you're adding? Are you adding more people at intermodal terminals, are you adding more chassis, are there areas you need to add more cars to support that in '22?
Lance Fritz : There are always rifle shots from a capital spending perspective, Tom that we have to take care of. Eric identified some in terms of siding extensions. We've got some capacity spending that's going on in our new intermodal ramps, whether it's the Inland Empire or up in the Twin Cities. But I consider those rifle shots. Those are very specific little pieces of the network that we'll have a very positive generating ROI to them. In terms of manpower, resources, employees, we've got needs here and there.  And again, those tend to be pockets and they're driven by growth or they're driven by normal attrition. And we're right now in the process of hiring in a few areas around the network. We've got a training pipeline that's both representative of people we've hired and people we've called back from furlough. But I don't consider those numbers anything kind of worth commenting other than normal course of business.
Tom Wadewitz: Okay, great. Thank you for the time.
Lance Fritz : Thanks, Tom.
Operator: Our next question is from the line of David Vernon with Bernstein. Please proceed with your question.
David Vernon : Thanks, operator and good morning, guys. So Lance in getting I will kind of want to present the bear case and some of the arguments you are putting out there, right? I mean, we're in the tightest truck market, we've been in in sort of ever, right? This is a done conference game for Alabama as opposed to a college football playoff game, if you will. Now, and we're still seeing in modal volume down 6%. So when I get asked that question, how would you respond to the fact that in this really super tight market where demand for intermodal should be off the charts, you're not growing. So what's going to change between now and the next few years that will help you grow?
Lance Fritz : Absolutely. David, you just outlined the connection. Our volume in intermodal is down because of tight dray market. We don't have enough dray capacity to support the overall supply chain on the intermodal product. That is going to be remedied, right?
Lance Fritz : Supply and demand in our market economy gets remedied. Truck driver wages are going up, dray wages are going up. It's all looking good. So I feel very good about overcoming the bear case that you just outlined because they're intimately connected.
David Vernon : First of all, I'm a Georgia fan and not Alabama.
Lance Fritz : I took a shot.
Kenny Rocker : First of all, yeah. We've got an investment here that's coming on in the first half of the year of chassis. We feel good about that. We've got ample container -- work on improve our competitiveness, here in the first half of the year. We've got GPS that we're investing in. I can't say enough about how much capacity opportunities are there in an Inland Empire. And we're working very closely what Eric's team on that. And we still have room to grow in the 2030. So yeah, there are some macroeconomic and supply chain challenges out there, but what you're hearing me say, and what you're hearing Lance say, is that boy as a team, we're really going after it and being very deliberate and specific about how to grow the business.
David Vernon : Okay. And just as a quick follow-up, is it right to think that the on-boarding of that night business will be easier because it's coming with the drayage and the chassis is and the stuff that Nate's going to bring along with it.
Kenny Rocker : We don't see any issue bringing on that business.
Lance Fritz : Yeah. We are committed. We're well-planned. There's a detailed executing plan already in place. And we're really looking forward to having them on as a partner there. They're running an outstanding business. They'll be a great partner to have.
David Vernon : All right. Thanks a lot for the time guys.
Operator: The next question is from the line of Ravi Shanker with Morgan Stanley, please proceed with your question.
Ravi Shanker: Thanks, Miami One. If I can discuss being on the same team, Kenny, you highlighted in your prepared remarks some of the challenges forecasting the auto as business in the last few months. At the risk of asking you to judge somebody else's crystal ball, we have heard from some of the industry kind of data providers that their outlook for auto production recovery through 2022 is really slow. So is there a risk that an auto production is definitely going to ramp next year, but the ramp is not nearly as much as people think and be -- when the production does ramp, is there a risk that some of those finished products get put on truck to try and expedite their [indiscernible] dealers? Or are you quite fin about maintaining share in the RSS?
Kenny Rocker : That's interesting question. It really depends on what you believe and what you've heard us say is that we believe the run rates will continue to move in the fourth quarter. And then it'll be up low, gradual ramp up in the first half by late spring, summer. We can get to where the forecast [indiscernible]. That be an excellent position for us. We expect to really have a strong product that is competitive with truck, but we don't see where we would lose any of that business. And we also would anticipate that some of the auto part business will show up a little bit before the finished vehicles product.
Ravi Shanker: Got it. That's helpful. Thank you.
Lance Fritz : Thank you, Ravi.
Operator: Our next question is from the line of Jeff Kauffman with Vertical Research, please proceed with your question.
Jeff Kauffman: Thank you very much and congratulations in a tough quarter. Kenny, I'm going to stick with the football analogies here. When I go out, and I talk to shippers, they all tell me we'd love to use a lot more Intermodal than we're able to right now. In fact, if we had our druthers, we'd put another five or 6% of our spend and Intermodal. How many points are we'll leave it on the Board due to these turnovers, so to speak, from the environment? And if you were able to get that great capacity and run the network the way you'd like to, what do you think Intermodal would look like now?
Kenny Rocker : That's also an interesting question. What I'll tell you what we're doing is going out and inserting solutions where we can. So Eric and his team has done a really good job with keeping in contact with the terminals from a technology side, we've been surrogate APIs at the Port from an investment perspective. We're going out and really owning our own destiny in terms of expansion. We're creating solutions for our customers. Clearly, Eric talked about what we've done in our G3 facility.  We also opened up temporarily another facility down in the Houston area our loops subsidiary is going out and working with the BCO, expedite drayage. We're pulling everything we can in our control to not just accept what the supply chain challenges are out there. We're trying to own it. And so you've heard about the investments that we're making on the chassis and GPS side. So what you're hearing from me is we're doing everything we can to control our destiny, to maximize.
Lance Fritz : Kenny, another way to answer Jeff's question, Jeff, if you recall when we came into the year, we had a guidance that said 4 to 6% growth. And coming out of the second quarter, the lay of the land look ed pretty strong and we up that to 7%. And now because in part of the Intermodal Supply chain disruptions, along with the continued issues on semiconductors for automotive, we've dropped that back to 5%. So right there you see 2% points of growth on the whole business that is connected to supply chains being screwed up.
Jeff Kauffman: Could I go a little further out on that, though. I guess what I'm reaching for here is, I understand the current environment. But you're doing about, let's call it $4.5 billion in intermodal revenue. We got a truck industry that's capacity constrained. We got prices going through the roofs. We got a lot of people that want to use intermodal but just can't right now, for a variety of reasons or not as much as they want to right now. If these factors were to mitigate over the next two years. Three years, what do you think that Intermodal business could look like? I mean, do your customers say, geez, we'd love to give you another 5% of our transportation budget on intermodal it's the network can handle it. I mean, what kind of conversations you have with folk’s kind of beyond the short-term fix?
Lance Fritz : Hey, Jeff, this is Lance, your thesis is spot on. Our customers tell us that they'd love to use more intermodal product. And that's a great place to be. We're not going to try to guess exactly what that looks like. We'll build next year's budget. We've got a long-range plan we'll continue to tweak and build on. But your thesis is spot on. There are tons of opportunity out there.
Jeff Kauffman: Okay. Thank you very much and congratulations.
Lance Fritz : Yeah. Thank you.
Operator: Our final question is from the line of Jordan Alliger with Goldman Sachs. Please proceed with your question.
Jordan Alliger: Hi, just a quick question on coal. I know the domestic opportunity should be good for EP with gas prices, but I think Kenny, you mentioned export too. I didn't think that was as big or important part of your franchise, I'm curious how much of an opportunity export can be? Thanks.
Kenny Rocker : Every carload matters and we've been able to grow our export business. But to your point, it's a smaller part of our overall portfolio.
Jordan Alliger: But there is opportunity set there and in this environment?
Kenny Rocker : Absolutely. We've seen a handful of wins that we're really excited about.
Lance Fritz : Putting a little bow on that Jordan, you know the eastern railroads, and their export business is substantial and big and our export business doesn't really look anything like that.
Jordan Alliger: Got it. Thank you.
Lance Fritz : Okay. Thank you.
Operator: Thank you. There are no further questions at this time. I would like to turn the floor back over to Mr. Lance Fritz for closing comments.
A - Lance Fritz : Well, thank you, Rob. And thank you all for being engaged with us this morning and your questions. We really appreciate getting into those discussions. We look forward to talking with you again in January when we discuss our fourth quarter and full-year results. And until then, I wish you all a very good health. Thank you. Take care.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.